Operator: Greetings, and welcome to the Markforged Second Quarter 2024 Earnings Conference Call. At this time all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Austin Bohlig, Director of Investor Relations. Thank you, Austin. You may begin.
Austin Bohlig: Good afternoon. I’m Austin Bohlig, Director of Investor Relations of Markforged Holding Corporation. Welcome to our second quarter of 2024 results conference call. We will be discussing the results announced in our earnings press release issued after market close today. With me on the call is our President and CEO, Shai Terem and CFO, Assaf Zipori. Before we get started, I’d like to remind everyone that management will be making statements during this call that include estimates and other forward-looking statements, which are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Any statements contained in this call that are not statements of historical facts should be deemed to be forward-looking statements. These statements represent management’s views as of today, August 8, 2024, and are subject to material risks and uncertainties that could cause actual results to differ materially. A description of these risks and uncertainties and other factors that could affect our financial results and performance are included in our SEC filings, including in our most recent annual report on Form 10-K for the fiscal year ended December 31, 2023, and subsequent quarter reports on our Form 10-Q, which may be obtained on the SEC’s website and on our Investor Relations website. Markforged disclaims any intention or obligation, except as required by law, to update or revise the forward-looking statements. Also during the course of today’s call, we refer to certain non-GAAP financial measures. These non-GAAP measures should be considered as a supplement to and not a substitute for our GAAP financial measures. There’s a reconciliation schedule showing the GAAP versus non-GAAP results currently available in our press release issued after market close today, which can also be found on our Investor Relations website at investors.markforged.com. I’ll now turn the call over to Shai Terem, President and CEO of Markforged.
Shai Terem: Thank you, Austin, and thank you, everyone, for joining us on our Q2 2024 earnings call. We demonstrated strong execution in Q2, while effectively navigating industry sector challenges. We remain encouraged by the market response to our new products. The positive feedback and growing pipeline underscore the strength of our newest innovations and our ability to meet the needs of our manufacturing customers. As we look ahead to the second half of the year, we see a restoration of growth driven by the continued rollout of our newest platform innovation, the FX10, FX20, PX100 and new materials. To maximize our cash resources and best enable us to achieve sustainable growth, we’re implementing a $25 million cost reduction initiative that we expect will reduce our annual operating expenses run rate to approximately $70 million in 2025. These cost reduction actions have been initiated, and we expect to be completed by the end of the year. We have a strong product line, and these cost reductions are not expected to compromise our ability to grow and keep us on a sustainable growth trajectory. In Q2, we also accelerated shipments of the FX10, underscoring the products innovative features and superior capabilities for printing mission-critical parts for the factory floor. We entered Q3 with a robust pipeline and intend to release additional capabilities, which increases our confidence that this momentum will continue to drive growth in the second half of the year. We also launched two new materials, Onyx FR, flame-retardant and Vega with high-temperature continuous fiber. These new materials further expand the capabilities of the Digital Forge and especially the FX20, which will help our manufacturing customers to solve even more applications on the factory floor. We believe these innovations amplify the capabilities of our newest platforms and will support the increased adoption and growth. I’m also excited to announce that we have successfully shipped the first PX100 in Q2. Marking a significant milestone in our company’s journey. This milestone is the combination of extensive development and rigorous testing to ensure we deliver high-quality innovative solutions to our customers. Our customers believe in the PX100’s potential to set new standards in highly regulated markets, such as automotive, medical, aerospace and luxury goods, thereby supporting Markforged to future growth. We remain on plan to ship additional units in the second half of this year. Our customers across the world increasingly recognize the Digital Forge is a powerful platform to reduce cost and improve manufacturing operations. Parsons Corporation, which designs and deliver custom automation and robotic systems to manufacturers provide a good example. A prominent American snack food company engaged Parsons to automate the collection and transport of small food product line. When conventional manufacturing approach proved incapable of meeting their customer’s needs, Parsons Team turned to the Digital Forge to boost design flexibility and production opportunities. Parson produced over 80 small package containers that were production-ready for the packaging line while meeting a lean manufacturing budget for the customer. This is just one of many examples of how Parsons is solving its customer packaging challenges with the Digital Forge. Another example is with Suntory Products Limited, a leading global company specializing in the production of premium non-alcoholic beverages, which also solve manufacturing challenges using the Digital Forge. They have logged over 12,000 hours with the Digital Forge, producing over 1,000 parts such as jigs for tube replacement for a fraction of the cost of traditional sourcing. Excess at the Haruna plant led to expansion across Suntory products and the entire Suntory Group, enhancing productivity and innovation at multiple sites. Driven by innovative new products as well as robust utilization rates across our growing installed base, we are on plan to return to growth in the second half of the year. There is a massive opportunity to help manufacturers bring industrial production to the point of need, and we remain confident that Markforged offers the best solution. With effective cost controls, prudent cash management and our new product lines, we remain excited about the future of the company and our ability to continue to drive the adoption of additive manufacturing on the factory floor. With that, I now turn the call over to Assaf Zipori, our CFO, who will offer more details on our financial performance and guidance for the remainder of the year.
Assaf Zipori: Thank you, Shai, and good evening, everyone. I will now be covering our financial results for the second quarter of 2024 and the outlook for the full year. Please note that my comments reflect our non-GAAP results and outlook. For your reference, our earnings press release issued earlier this afternoon and posted to our Investor Relations website includes our GAAP to non-GAAP reconciliations to assist with my commentary. Revenue for Q2 was $21.7 million compared to $25.4 million in the second quarter of 2023. Our revenue performance was largely driven by lower system revenue, which continues to be impacted by tough market conditions with high interest rates. Gross margins for the quarter was 51.9%, up 3.6% from the second quarter of 2023. This margin expansion was driven by operational efficiencies and product mix. Operating expenses were $23.3 million in the second quarter of 2024, down from $26.6 million in the second quarter of 2023. This improvement is a result of our ongoing efforts to reduce operating expenses and optimize our cash utilization. As we previously highlighted, we initiated an approximately $25 million annualized cost reduction initiative that is expected to reduce our annual OpEx run rate to approximately $70 million in 2025. We expect savings to begin to be realized in Q3 2024 with the cost reduction program almost entirely completed by the end of the year 2024. I also want to note that in Q3, we reached an agreement to terminate the lease agreement covering our previous headquarters location in Watertown, Massachusetts. As consideration for the lease termination, we made a one-time payment of $2.75 million to the landlord, avoiding approximately $600,000 of rent in 2024, and we expect to save a cumulative additional amount of approximately $6.2 million in 2025 and beyond. Our operating loss for the quarter was $12 million, an improvement from $14.3 million in the second quarter of 2023. Net loss in the second quarter of 2024 was $10.8 million an improvement from a loss of $12.5 million in Q2 2023. Second quarter loss per share was $0.05 based on our weighted average shares outstanding for the quarter of 201.3 million. Our net cash used in operating activities in the first 6 months of 2024 was $21.9 million, which is an improvement of approximately 29% from the first 6 months of 2023. We expect our cash utilized in operations to improve throughout 2025 as a result of higher revenues, gross margin expansion, cost saving initiatives and working capital efficiencies. Our cash and cash equivalents, including restricted cash, were $93.9 million at the end of Q2, down from$19.4 million from the end of Q1. Our restricted cash includes $19.1 million to cover certain liabilities associated with the Continuous Composite lawsuit and the judgment of $17.3 million in monetary damages, plus $1.8 million of interest for the prejudgment period and the expected duration of the appeal process. We expect these funds will remain in restricted cash as we continue to explore and pursue all available options with respect to the Continuous Composite measure, including seeking to overturn the verdict through the appeal process. Following the verdict, Continuous Composites also asserted to post-trial motions, claims for royalty payments for sales of certain products manufactured and or sold in the United States after December 31, 2023. We anticipate a ruling on the post-drive royalty claims to occur during the second half of 2024. As we note in our 10-Q filing for the period ended June 30, 2024, filed today with the SEC and available on our Investor Relations website. We estimated the loss contingency related to Continuous Composite’s royalty payments claimed to be in the range of $0 million to $2.7 million for the 6 months ended June 30, 2024. In accordance with applicable accounting standards and guidance, we recorded no accrual for Q2 because the low end of this range was estimated to be zero, and we believe that no amount within this range was a better estimate than any other amount. These estimates were based on information available to us at the time of assessment as additional information becomes available or there are future developments in the case, we may reassess the potential liability related to this matter and may revise our estimates. In the event Continuous Composites, post-trial royalty payment claims are successful and royalties are awarded, we expect the court’s remedy to be a fixed fee assessment of royalty payments for each machine sold and/or manufactured in the United States after December 31, 2023. That includes our carbon fiber reinforcement technology. In the near-term, we would expect royalty payments if awarded to result in a 5 to 7 percentage point reduction in our gross margins. There may be additional impact as well, which are discussed in our Form 10-Q filing for the period ended June 30, 2024, a copy of which is available on our Investor Relations website. As discussed previously, we continue to strongly disagree with the verdict in the Continuous Composite case and the associated post-trial royalty claims. We have engaged a leading law firm to support us through the appeal process and defend against the post-trial royalty claims and continue to explore all other available options. We are also exploring measures to help mitigate the impact of an ongoing royalty payment obligation if awarded by the court, such as 15 more of our manufacturing operations to sites outside of the United States. Now moving on to our guidance. At this time, our guidance does not reflect any additional relief, Continuous Composites may receive as a result of its post-trial claims. Our guidance does not include adjustments in future quarters to account for developments in the ongoing Continuous Composite’s litigation. We anticipate fiscal year 2024 revenues to be between $90 million and $95 million, which acknowledges more persistent macroeconomic headwinds than previously anticipated. However, we expect revenues to grow low single digits quarter-over-quarter in Q3 and continue to see double-digit year-over-year growth return in the second half, driven by sales of new products, particularly the FX10. Given strong execution over the first half, we now expect non-GAAP gross margins to be in the upper range of our previous 48% to 50% guidance. Non-GAAP operating loss is expected to be in the range of $42.5 million to $47 million for the year, resulting in a non-GAAP loss per share in the range of $0.19 to $0.22 per share. That concludes our prepared remarks today. Please open the call for questions.
A - Austin Bohlig: [Operator Instructions] Thank you. Our first question is from Brian Drab with William Blair. Please proceed with your question.
Brian Drab: Hi, thanks for taking my questions. Just as we were closing talking about the legal issues, I’m wondering, and maybe I missed it, but can you talk about how much the legal issues have cost you at this point just in terms of legal fees cumulatively? And where we’re seeing that in the P&L?
Assaf Zipori: So Brian, this is Assaf. The legal fees are available in the GAAP to non-GAAP reconciliation, it’s excluded from the non-GAAP P&L. You can see that number over there.
Brian Drab: Okay. Do you have it top of mind, I guess I’ll look for no problem.
Assaf Zipori: Yes, I can provide it for you.
Brian Drab: No problem, no problem. I’ll look for it in the final – I just haven’t had time to look through all the numbers yet. And can you elaborate a little bit on the cost reduction initiative? And what areas are you focused on? What functions or a little bit more, I think you touched on some of the areas. But can you just put a little more detail around where you’re cutting?
Shai Terem: Sure. So thank you for the question, Brian. As you’ll see, we announced a $25 million cost saving initiative, you are really committed to get to what we see as a sustainable growth for our company. The majority of the savings are now coming from the R&D side. And now as we released three new platforms, we’re ready to start growing with them. that’s the right prudent thing to do to get to sustainable growth.
Brian Drab: Okay. Thanks. And just last one is you have – I know the guidance has come down a little bit, and it’s really tough macro environment. But can you just talk a little bit about why we’re going to see an increase in revenue from a little over $40 million in the first half to $50 million ish, $55 million in the second half. Thanks.
Shai Terem: So see, there’s a slight growth between Q2 and Q1. And we see our pipeline is growing, and that’s our leading indicator. So assuming that the conversion stay the same, we believe that we will see the growth. And it’s highly based on the new innovation. We see the pipeline growing significantly with the FX10. As you see, we shipped the first PX100, and there’s more to come. So I think it consists of kind of still challenging interest environment for capital equipment, but the new innovation definitely supports the growth in the second half.
Brian Drab: Yes, okay. Alright. Thanks very much.
Shai Terem: Thank you, Brian.
Operator: [Operator Instructions] Thank you. There are no further questions at this time. I’d like to hand the floor back over to Shai Terem, for any closing comments.
Shai Terem: Thank you, everyone, for joining us for our second quarter results. We’ll talk again in Q3.
Operator: This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.